Jacques Stern: Good morning, good afternoon. I'm Jacques Stern, the CEO of Global Blue, and I will present to you the Q1 figures of '23-'24 with Roxane Dufour, the CFO of the Group. So let me first start by the key takeaway of these Q1 figures. So very pleased to report a very strong performance in Q1, both in terms of top line and profitability. So top line first saw an increase in terms of revenue of 68% at EUR 95 million, and an increase of the adjusted EBITDA of -- more than 300% at EUR 28 million. So based on that, and if we annualized the EBITDA, including the seasonality, our Q1 figures on 12 months now reached EUR 141 million, which is EUR 20 million more than last quarter or the fourth quarter of '22-'23. Obviously, and I will come back in more detail on that. One of the reason of the acceleration is the recovery or the start of the recovery of Mainland, China. So we are benefiting from that, but we will continue to benefit from that. It's just the start. And just to give you a sense of that, if we were to reach a 105% of Chinese recovery, we are now only at 38%. As I was mentioning, we were -- we would be able to reach a EUR 200 million adjusted EBITDA. I will go to the detail of that, which basically translate that for the next 18 months, with 18 months to 21 months, we still have a very strong tailwind coming from the China recovery. But beside that, we project ourselves post the Chinese recovery. Obviously, we will continue to benefit from long-term growth driver that I will detail more in this presentation. So let's start by the beginning and I will let the floor -- I will give the floor to Roxane for the detailed Q1 performance. 
Roxane Dufour: Thank you, Jacques. Hello, everyone. I'm Roxane Dufour, the CFO of Global Blue, and I will take you through the Group's financial performance for our first quarter ended on the 30th of June 2023. Again, as a reminder, our financial year runs from April to March. Here this is the Q1 results announcements and all reconciliation to the nearest IFRS metric are included into the appendix. So let's move to Slide 7 for the adjusted P&L related to our first quarter. We are very pleased to report a solid start to the year with significant progress against all the key metrics. TFS and AVPS reported sales in store increased by EUR 2.5 million, an increase of 75% versus Q1 last year. Group revenue increased by 68% as mentioned by Jacques to EUR 94.5 million in the same period last year. Turning to adjusted EBITDA, we have delivered a significant improvement to almost EUR 28 million to -- versus EUR 6.8 million last year at the same period. Finally, we recorded an adjusted net income for the Group of EUR 2.1 million, again a significant improvement versus negative EUR 11.6 million last year. Now let's turn to Slide 8, to dig into the revenue performance. Here, you can see, we have had a solid start to the year with strong growth across the business. We delivered a 68% increase in reported revenue in Q1 this year versus the same period last year, equating to 67% like-for-like basis. I will go into the detail per division on the following slides, but you can see here TFS, AVPS, and RTS contributed a further EUR 37.6 million in revenue, with a further EUR 1.6 million scope effects from TFS and RTS. We have also an FX impact of EUR 0.9 million, which get us at the end to a EUR 94.5 million in Q1 this year in revenue versus the same period last year, which we were at EUR 56 million only. Turning now to the revenue performance per division. Starting with TFS, which accounted for 73% of the Group revenue in Q1 this year. TFS delivered a strong performance with an increase in revenue of 73.5% on a reported basis. On a like-for-like basis, revenue in Continental Europe increased by 63.5%, while the revenue in Asia Pacific increased by 166.5%. The increase in revenue primarily reflects the ongoing recovery across all nationalities coupled with the reopening of Chinese border in January 2023 and as Jacques mentioned, he will cover that in more details later. Turning now to AVPS. AVPS accounted for 20% of Group revenue in Q1 this year, This division also delivered a strong performance with an increase in revenue of 49.2% on a reported basis, reporting a strong performance across both business segments. On a like-for-like basis revenue in FX solution increased by 64%, while revenue in the acquiring business increased by 44%. As with TFS, AVPS is also benefiting from the ongoing recovery in the travel industry. Turning now to RTS. RTS accounted for 7% of Group revenue in Q1 this year. As a reminder, RTS reflect the acquisition of ZigZag in March '21, consolidation of Yocuda in September '21 and consolidation of ShipUp from November '22. Here you can see RTS revenue increased by 78% on a reported basis to EUR 7.1 million in Q1 this year. There was strong organic growth of 48.6% or EUR 1.9 million from ZigZag and Yocuda and an additional EUR 1.3 million from the acquisition of ShipUp. Turning now to Slide 12 for the bridge from issued SIS to revenue. Here, this is the bridge detailing a number of items to consider between the issued SIS to the reported revenue. And here we are showing the comparisons versus calendar year 2019, pre-COVID level. We are at 120% recovery for issued Sales in Store in TFS and AVPS, and the issued SIS is here presented on a like-for-like basis, meaning at constant parameters. Then we take into account the scope effect of the U.K., abolishing the tax free shopping scheme in January '21, and as a reminder, prior to the abolition of scheme, the U.K. accounted for 14% of Group TFS reported SIS, which is no longer the case here. The impact from the U.K. abolishment is 12 points and there is a further 5 points impacted due to FX translation and also 1 point impact, related to the discontinuation of our business in Russia, which give us at the end 102% recovery in issued SIS, in TFS and AVPS reported this time with TFS at 96% and AVPS at 128%. Then, we have the refund ratio, refund ratio meaning that once the transaction is issued, the traveler has to validate the tax refund and get the refund. Only at this point in time, the transaction is part of the reported SIS which triggers the revenue. Today, the actual refund ratio is slightly lower than 2019, but it's mainly due to a nationality mix effect. Then there are transactions completed off period, this is where the transactions have been issued in a quarter, but validated and refunding in the following quarter. This gets us 101% recovery for completed SIS in TFS and AVPS. Then we have some leakage on completed reported SIS to reported revenue. First for TFS, we have a merchant mix effect where there has been an increased level of business with larger merchants, who get a higher rate of commission. We have an increase in average spent, which means a higher rate of VAT that is refunded and therefore a lower take up for Global Blue. Second, we have the AVPS mix effect where the AVPS business, which is lower margin, is growing faster than TFS. This give us 87% reported revenue recovery for AVPS and TFS. Finally, we have the contribution from RTS business, which give us 94% revenue recovery for the Group for Q1 '23-'24. Turning now to adjusted EBITDA. The significant improvement in revenue together with the ongoing focus, on the cost base led to a 4x increase in an adjusted EBITDA in Q1 this year versus the same period last year, with a 55% revenue drop-through in adjusted EBITDA and I will take you through this in detail here. We begin with our adjusted EBITDA on the left side, which was EUR 6.8 million last year. As I covered on the previous slide, there was a strong revenue improvement across all the business lines and you can also see this here. If we look at the contribution, the additional contribution of the -- of each business, contribution being the revenue minus the direct variable cost, here we have a further EUR 29 million in Q1 this year. Looking to the divisional contribution, this is an additional EUR 24 million on TFS, almost EUR 4 million from FX solution, EUR 0.6 million from RTS and EUR 0.2 million from the acquiring business. Then taking into account for EUR 6.4 million fixed costs, EUR 1.1 million of scope effect and EUR 0.5 million of foreign exchange impact, the Group delivered an adjusted EBITDA of EUR 27.8 million precisely with an increase in adjusted EBITDA margin of 17 points to 29% now in Q1 '23-'24. Turning now to Slide 14 for further detail on EBITDA. Here, we are showing the annualized adjusted EBITDA based on the quarterly recovery. The yearly extrapolation includes the TFS and AVPS performance in the various quarters applied to the year and excluding RTS business. You can see here a steady and consistent improvement in the annualized quarterly adjusted EBITDA from EUR 43 million last year same period in Q1 '22-'23 to EUR 121 million in Q4 of financial year '22-'23. Now, during this quarter, based on the Q1 recovery, the annualized quarterly EBITDA is at EUR 141 million. This has led to a significant improvement in margin from 18.7% in Q1 last year to 37.2% in Q1 this year. Turning now to Slide 15 for a breakdown on D&A and net finance costs. Here, on the left side, related to the D&A, we have a slight increase of EUR 0.3 million to EUR 9 million and on an annualized basis this equal to a D&A of EUR 36 million, which is in line with CapEx guidance at EUR 35 million. Then on the right side, you have the net finance costs details. Costs increased by EUR 0.7 million to EUR 10.7 million this year. And this is mainly due to an increase in interest costs of EUR 5.4 million versus last year and this is -- this increase in interest costs is directly linked to the increase in interest rates. Last year, the blended rate was at 2.72% and now it's 5.60%. And this is, the interest related to the -- to our senior debt and revolving credit facility. This was largely offset by the other finance costs decreasing, by almost EUR 5 million. As a reminder, last year, we had a major impact, due to the foreign exchange losses related to the Certares and Knighthead equity transactions, and the Supplemental Shareholder facility, those are denominated in USD while Global Blue reports in EUR. Now let's move to Slide 16 for an analysis on our cash flow. After an adjusted EBITDA of EUR 27.8 million, you have a EUR 7.8 million of CapEx in the quarter and this is essentially related to technology development. It's very pleasing to report a positive adjusted EBITDA less CapEx of EUR 20 million while we continue to invest in strategic projects. Turning now to working capital. As we see the travel industry recover, we see increase in volume, which leads to an increase in our capital, in our working capital needs. As the travelers get refunded upfront and about a month later, we collect the VAT from merchant and authorities. Here you can see that we have a working capital outflow during the quarter of EUR 47.4 million, but again, this is completely in line with the increase of the volume during this period, during the summer. And automatically what's in our business, you have a tailwind of this working capital and you have an inflow that correspond to this outflow that will be, after the summer season, most -- all the time, this is in Q3 that we see this inflow coming back. The second point, that is important to mention on the cash flow, this is the interest that are related to the senior debt that has been paid for the last 6 months during the quarter and it has impacted the cash flow by EUR 19.4 million. And as an information, the next payment is at the end of November '23. We pay every 6 months, most of the time. Finally, our net financial debt increased by EUR 58 million, which I will cover in the next slide. As of June -- as of end of June '23, our net financial debt amounted to EUR 608 million, both our senior debt and revolving credit facility have a maturity date at the end of August 2025. As a reminder, the financial covenant is based on the level of total net leverage lower than 4.5x. We were in compliance with the first testing date, as of 31st of March '23 with the total net leverage at 2x and we anticipate that we will be in compliance with the next financial covenant testing on September -- end of September '23. You can see, we have a strong balance sheet with EUR 182 million of cash and cash equivalents at the end of June. Turning now to Slide 18 for the key takeaways. First, we are very pleased to report based on a solid recovery, a significant increase in revenue of 68% to EUR 95 million. Second, thanks to the strong revenue growth and the ongoing management of the cost base, we are very pleased to report a strong improvement in adjusted EBITDA to EUR 28 million, which is 4x of what has been reported last year at the same time with a revenue drop through of 55% in adjusted EBITDA. Finally, if we annualized at the adjusted EBITDA based on the quarterly performance of this Q1 for TFS and AVPS that shows a consistent improvement from EUR 47 million last year at the same period to now at EUR 141 million. This concludes the financial section and we'll now hand over to Jacques to present the latest trends and the long-term growth driver for Global Blue. 
Jacques Stern: Thank you, Roxane. So I will start by the latest trends, so -- and in particular, lead to July, you can see on this table on Slide 21, that basically, in July, we have posted or something which was really in line with Q1, about an acceleration of the growth in APAC, where on the back of the Chinese recovery, we have a 23-point increase like-for-like issued Sales in Store at 134% versus 111% in Q1, and Europe, basically, more or less at the same level around 120%. Let's deep dive now into the detail. So, in Europe, as I was mentioning, we have seen July more or less at the same level than the Q1, and we continue to see an increase of spend, which is healthy around 30%, 29% to be precise to, which mean that we have a recovery in terms of number of shoppers of 92% like-for-like versus 2019, where thanks to the average spend increase, the spend is reaching a recovery of 118%. When we look to the detail per nationality, we are basically saying that in July, the nationality beside China and Russia are more or less consistent around 150%, 160%. We saw, I would say, slight movement, for U.S. and GCC which are a little bit more soft, where the mid and long haul are around stable, around 120%. On the other hand, we see that, China has been slightly negative in July in terms of the level of recovery versus Q1. So maybe 40% versus 47%. Let's go a little bit more into the detail of China. So basically, in China, we are seeing that the capacity is recovering nicely, which is great, but the number of international shoppers in July has been far lower than the air capacity. Probably there, the combination of the cost of the flight, but also the delay to obtain a visa to come in Europe, explain that why you have this lag between the recovery in terms of international shoppers and the air capacity. But we are benefiting on the other hand, like for most of the other nationality in Europe, over an increase of average spent -- Chinese spending in Europe of 37%. If we move now to APAC, I was mentioning an acceleration in July. We have reached 134% versus 111% in Q1, and there clearly on the back of a substantial more increase of spend if in Europe, we were talking about 29%. Here, we are talking about an increase of spend of 40%, which means that at the end, in July, we were capable to have a recovery in terms of number of shoppers of 96% and a spend recovery of 134%. When we go into the detail of the nationality, like in Europe, July was more or less stable for all nationality, excluding, China at around 175%, on the back of a very solid performance from Hong Kong and Taiwanese residents, almost 400% recovery versus 2019. And obviously, the nice increase of the region has been possible, thanks to the increase of China, where from 60% in Q1, we are now moving to 100% in July. And if we go to the detail of the understanding of that, it's mostly coming from the average spend, because you see that, in terms of recovery of international traveler at 46%. We are more or less, equal to the air capacity. And clearly, the increase of the spend by Chinese when they are shopping in APAC is explaining the 100% spend recovery, with this average increase of 119%. So in summary, what we can say on the latest strength is very solid business, excluding China, in Europe and APAC, with a level in July, which is more or less stable. So 155%, 160% in Europe, 175% in APAC, and clearly, what makes a difference is the increase in APAC of the Chinese recovery at reaching for the first time, now 100% with Europe still lagging, probably as mentioned because of the combination between the cost of flight and the time to issue a visa. And also the desire from Chinese traveler to enjoy a kind of more short haul in Japan and Korea, which are the 2 destination, which are benefit from most of the recovery in APAC. So let's turn ourselves a little bit more in the next months and what are the key driver for this continuous recovery, in particular, of the Chinese. So few elements there to share with you. First of all, the willingness from Chinese in travel remains very high above 70%. That we survey every month something like 10,000 Chinese in order to test their appetite to travel, and since now a couple of a quarter, actually 3 quarter and 2 quarter plus July, we have seen that it has reached around 70%. Secondly, we should not forget about that and we are seeing that in APAC already, the potential average spend to be much higher than in 2019, will be driven by the saving in terms of luxury spend that Chinese have done during COVID. During COVID, I remind you around EUR 30 billion to EUR 40 billion per year of luxury personnel goods have not been spent. So it's a kind of mass of around EUR 100 billion, which has been unspent. And clearly this is why we are seeing such a level of very high average spend increase per shopper in APAC, and hopefully, we will see that in Europe in the coming months. Clearly, in terms of main element for the recovery to develop air capacity is a key element, and we are seeing and foreseeing a nice increase month after month, a couple of points both in Europe and in APAC, as you can see in this slide. Obviously, as I was mentioning, capacity to get a visa to go to Japan, Korea or Singapore is almost immediate now in APAC, so when you want to travel, you attempted to go there because you can do it straight away, where in Europe, in order to get your visa it's couple of months, and therefore, you need to plan much more, which is, again, something which will continue to play, but probably which will vanish, I would say, in the coming months just because, the countries in Europe are reopening visa center one after one in China, and therefore, are easing the process in order to get those visa. So as I was mentioning, China is for the next, I would say, a couple of quarter, clearly, the -- still option for Global Blue to continue to increase the profitability of the Group. If I remind you what Roxane was saying a couple of minutes ago, today, in the Q1, we are reaching an annualized EBITDA of 141%, which include a recovery for Chinese traveler of 38%. And on the right of this chart, you have a sensitivity, which based on a different level of recovery of Chinese, but it's the same level of recovery for the TFS and AVPS. On the other nationality, we would end up to those simulations. So if I take an example, at 100% of recovery versus 38% in Q1 of China -- Chinese, we would end up at EUR 195 million, and with a margin of 43.9%, which is why we are mentioning that at 105% of recovery of the revenue from Chinese, we would be exceeding EUR 200 million of EBITDA. And just reminding everyone, at the top of our profitability before COVID, which was the calendar year 2019, we reached EUR 187 million. So definitely the current, but progressive recovery of the Chinese shoppers will help us to grow to this type of level, pre-COVID [ quite quickly now ]. And, obviously, the next question is perfect, so for the next 18 months, 21 months, Chinese will drive Global Blue growth. The question is, what next? Well, what next is really what is important or as important, which is what are the long-term driver for Global Blue. And just to remind you that, we have 4. The first one is the dynamic of the overseen luxury market, which is driven by basically 2 component. One, the emerging market middle class, and the other one, which is the increase of a net worth individual. And just to remind you that, on the period 10 years before COVID, if the luxury market was increasing by 5.8%, the TFS market has increased by 10%, which is explained by this high correlation of the TFS, with the increase of middle class and if you believe in this middle class in emerging country, which are traveling, which are shopping abroad, you can understand why it's a positive for Global Blue, but also high net worth individual because in our business around 25% of the spend is done by 1% of the traveler. This is people who are spending EUR 50,000 per year, and these are the ones which are the bread and butter of a luxury market. Second driver, it's around the capacity of the Group to open new country, again, 10 years before COVID, we were capable to open 7 new countries which contributed at the time to 2% of SIS growth during this 10 years. And just to remind you that today, on 180 countries which have adopted VAT, we are covering today only 72 of them with a VAT Refund Scheme, and on which only 43 where we operate. So more new countries, and therefore, it's a component of our long-term goals. The third one on the tax rate, which is important, and which is also important for the payment business that we have is digitalization. And just a slide, or graph here to remind you that, we still have a penetration, which is around 50%, i.e., when you take 100% of eligible volume of business and you see how much has been refunded, only 50% of that has been refunded because the forms have not been issued in the store or because people not have the time at the airport to validate and be refunded their form. But at the end, penetration is a key driver for us, because digitalization means a smoother experience, less friction, which increase, basically the probability of consumer to use tax rate. Two figures to illustrate that. When you look to this success ratio of around 50%, as I was mentioning, when you look to digital country, at anywhere you have a validation where you have a digital validation through ratios. We have a success ratio of 55%, whereas, in non-digital country, it's 42%. So digitalization is an easy markets, subject that we work on in order to also there contribute to more Sales in Store. In the past 10 years before COVID, it contributed to 2%. And it's more or less the same in the AVPS business or in the GCC business, less cash, more credit [ governments ], more opportunity to propose a GCC, and therefore more opportunity to grow the business. Last but not least, thanks to our diversification into the Retail Tech. We are now exposed to the online market. And thanks to our 2 company ShipUp and ZigZag, which are playing in this online world, we will benefit to the long-term growth driver of the e-commerce 10% as, you know, even though today a little bit less post-COVID, but after a very big positive wave. Last but not least, just to remind you that we benefit from the inflation and luxury company are increasing their price at the level, which is higher than the inflation. So here, you have the 2023 price level versus 2019. So if our costs are increasing more or less at the level of inflation, slightly less, so 20% if we look back compared to 2019, the luxury goods price have increase of 27%. And as our business is based on the percentage of the volume that our retailer are doing, we have a positive equation [ revenue from that ]. And really last -- last but -- last, I would say, to remind me that, we have a defensive play, because if you look back to the last recession of the 2008, 2009, we were capable to post that Sales in Store performance, whereas luxury in the travel industry were negative. Why that? Because, again, we come back to the high network individual, which are less touched by recession, and which are an important part of our business in proportion more than the [ ruptures ]. So, in summary, for this Q1 very strong performance, both in terms of revenue growth and profitability, an acceleration of this adjusted EBITDA more or less EUR 20 million per quarter, which show the impact of the reopening of China in particular in the last 2 quarters. On that basis, at least from 38% recovery we are capable to reach 105%. We could reach the 200% mark in terms of adjusted EBITDA, which is an important mark for Global Blue. And besides that, very comfortable to re-express that we have strong long-term driver and we are quite well-positioned in terms of both recession and hedge, again the risk for inflation. So thank you again for the listening. And as usual, we will take the question and meeting in the coming days. Thank you.